Operator: Good morning, ladies and gentlemen. Thank you for standing by, and welcome to Vale’s Conference Call to discuss Third Quarter 2010 Results. If you do not have a copy of the relevant press release, it is available at the company’s website at www.vale.com at the Investors’ link. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, and instructions will be given at that time. (Operator Instructions) As a reminder, this conference is being recorded. To access the replay, please dial 5511-4688-6312; access code 47716. The file will also be available at the company’s website at www.vale.com at the Investors’ section. This conference call and the slide presentation are being transmitted via Internet as well. You can access the webcast by logging onto the company’s website at www.vale.com, Investors’ section, or at www.prnewswire.com.br. Before proceeding, let me mention that forward-looking statements are being made under the Safe Harbor of the Securities Litigation Reform Act of 1996. Actual performance could differ materially from that anticipated in any forward-looking comments as a result of macroeconomic conditions, market risks, and other factors. With us today are Mr. Guilherme Cavalcanti, Chief Financial Officer; Mr. Eduardo Bartolomeo, Executive Officer of Integrated Operations; Mr. Eduardo Jorge Ledsham, Executive Officer of Exploration, Energy and Projects; and Mr. Mário Barbosa, Executive Officer of Fertilizers. First, Mr. Cavalcanti will proceed to the presentation, and after that, we will open for questions and answers. It is now my pleasure to turn the call over to Mr. Cavalcanti. Sir, you may now begin.
Guilherme Cavalcanti: Thank you. Good morning to you all and thank you very much for attending this conference. Today, we have a brief presentation about results and perspectives. To begin with our third quarter results, we believe we delivered an outstanding performance this quarter. On the Operational side, we produced 82.6 million tons of iron ore, a 9% increase over the last quarter and a 23.7% increase over the last year. On the pellets production, we did 13.6 million tons, an 8% increase over the last quarter and a 71% increase over the last year. It was an all-time high output for our Carajás iron ore production and from our pelletizing plants. At the end of the quarter, we resumed our full capacity operations for nickel and copper after the stop due to strike of our Canadian operations. Our financial performance was best ever. We presented record revenues of $14.5 billion, a 46% increase over the last quarter and 110% increase over the last year. A record operational income of $7.8 billion, a 69% increase over the last quarter and 241% increase over the last year. A record operational margin of 55.6%. Record net earnings of $6 billion, a 63% increase over the last quarter and 260% over the last year. Record adjusted EBITDA of $8.8 billion, a 58% increase over the last quarter and a 192% increase over the last year. This strong cash flow generation allowed us to invest $14 billion to return capital to our shareholders of $5 billion in the form of dividends and share buybacks, and also decreased our leverage ratios. Despite a relevant increase in our asset base, our performance has been able to deliver return on invested capital much higher above our cost of capital. In order to support our operations around the globe, we are structuring world-class logistic infrastructure which I now ask Eduardo Bartolomeo please to talk about our main achievements recently.
Eduardo Bartolomeo: Good morning to all. Besides investing a large amount in 2010 in logistics, around $2.6 billion, I think we achieved three remarkable achievements in this year. First of all is we obtained the concession of Ferrosur in Argentina that was for the fertilizer business and the maritime terminals. Simandou, we are on good terms with – in agreement with the government of Liberia, it’s going very well. And most important in our case for coal, the concession that we bought from SDCN that is – we mean by that the Nacala corridor – that will support the improvement of production in coal from Moatize and also the Copperbelt in Zambia, because SDCN has also operations in Malawi. I think those three elements put logistics as we already know in our main business, iron ore, in a context worldwide, and I think those were received very well and very good acquisitions we did this year.
Guilherme Cavalcanti: Thank you. As mentioned in our last conference, the copper is living the best moment in history of the company. And also we foresee a bright future looking ahead. Global industrial production has decelerated. However, this is usual after the recent strong recovery after the global recession of last year. For the first half of 2011, we expect this global industrial production to increase. Central banks around the world are easing monetary policy in order to foster demand growth, consumption expenditures in emerging economies continues to be high and also after the leveraging process, companies also now has a sound balance sheet to start to resume capital expenditures again, especially the ones that delayed during the global crisis. China’s GDP growth is expected also to remain high. In iron ore market also we expect that it will remain tight. The tightness of the market is reflected on the spot price of the iron ore and also the demand for high quality iron ore also increases this premium of the price differential for quality, reaching $6 for each 1% of ferrous content differential. Considering our 66% ferrous content on our Carajás iron ore, we were able to capture $21.6 of premium. This premium is higher than the freight differential of Brazil to China and related to Australia to China. The high quality iron ore addresses the Chinese concerns of energy savings and carbon emissions. The use of Vale high quality iron ore maximizes energy efficiency, leads to less coke consumption per ton of steel, cuts CO2 emissions and increase productivity on the blast furnaces. Nickel prices have been trending upward, mostly reflecting the strong demand of non-stainless steel applications and also for stainless steel applications. Fertilizers’ prices are also beginning to reverse the downward trends and I’ll also ask please Mr. Mário Barbosa to talk about the current fertilizers market.
Mário Barbosa: With the reductions of production of grains in Russia and Ukraine because of drought, the price of grains increased a lot and the farmers are buying more fertilizer to the next crop to have more productivity and more income. So the prices of fertilizer are very strong at the moment and it will stay strong during the next months.
Eduardo Bartolomeo: Thank you, Mário. Urbanization, industrialization and the rising consumption of consumer durables will also keep the intensity of metal consumptions in emerging economies. China’s rural population is higher than 50% and India’s population – rural – is also 70%. China’s urbanization rate is expected to reach world’s average only by 2020. Also we see large flows of infrastructure spending in China, for example, in roads, railroads and airports. Although, China is already the largest car industry, the penetration is still low, indicating a huge growth potential for the car industry. India, as mentioned, is still a rural country. Industry is too small, only 20% of GDP, and the government intends to double infrastructure investments to one trillion from 2012 to 2017. These will all contribute to the decrease of exports of iron ore from India, contributing the future for a tightness of the iron ore markets. Moving to the sustainability; Vale is developing several initiatives to become an agent of global sustainability. Those initiatives include dry iron ore processing, truckless mine, green vessels and renewable energies. The dry iron ore processing not only saves water and energy, it also reduces CO2 consumption, there is no need for tailing dams, increases the recovery rate of the ore and reduces CapEx and OpEx. The replacement of trucks for conveyor belts in the Serra Sul project will mean a reduction in carbon emissions, higher safety and also preserve of the forest. We are building very large ore carriers that will transport 400,000 tons of ore which means less 34% in pollution. Since diesel is a significant part of our costs, we are investing in biodiesel which can be blended at a 20% proportional to fuel our locomotives. Lastly, our Vale foundation is one of the largest corporate foundations of the world. Consider the percentage of 2009 revenues; it was the highest among global metals and oil companies. Before turning to Q&A session, I would like to mention that we just released our CapEx for next year of $24 billion and it’s worth mentioning that this figure we’ll always be reassessing, re-evaluating the execution of these capital expenditures considering equipment costs, considering labor costs, considering the exchange rate and also accessing the returns of the project from time-to-time. I would like to ask, too, Roberto Castello Branco to give some highlights of the CapEx expenditure for next year.
Roberto Castello Branco: Well, good morning. We’re just releasing the news about the CapEx budget for 2011. It was approved this morning by our Board of Directors. It’s a $24 billion program for next year and it’s very consistent with our long-term view of the market fundamentals for minerals, metals and fertilizers. Consistent also with our intention to grow and to generate a high value for shareholders, 81% of the budget is allocated to finance growth, involve project execution and research and development. A total of $17.5 billion will be spent in project execution, $2 billion will be spent in research and development and $4.5 billion, approximately 5% of our asset base will be spent on sustaining of our existing operations. Consistently with our strong commitment logistically on capital allocation, we will be continuously monitoring costs, particularly those who we have a potential to pressure our cost base like labor cost, of equipment and the volatility of currencies in order to ultimately be reassessing expected returns on the projects we are developing and in effort to maximize shareholder value creation. Given the projects we are developing, we expect our production to grow at a very high rate over the next few years. We estimate an average annual rate of growth of 16.3% ore production during the period from 2011 to 2015. So, the size of our company we more than doubled. We expect iron ore production to reach 522 million tons, nickel almost 400,000 tons, copper almost 700,000 tons, coal to reach 42 million tons, potash 3.5 million tons and phosphate rock 12.7 million tons. So, a very detailed press release is being distributed now. And I pass to Guilherme Cavalcanti to continue the conference call.
Guilherme Cavalcanti: Thank you very much, and I would like to move to the question-and-answer session. 
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. (Operator Instructions) Our first question comes from Mr. Ivan Fadel from Credit Suisse.
Ivan Fadel - Credit Suisse: Okay and good morning everyone. Thanks for the conference call and thanks for your announcement of CapEx as well. First of all, how should we understand Vale’s iron ore capacity for next year? And I understand also that given what Mr. Castello Branco just said, we should also believe that Vale should ramp up volumes to 420 million tons in the next few years to 2015. So, if you could go over Vale’s CapEx until then, how should we look at this number? Also, my second question would be, in terms of iron ore prices, prices are again very strong at $150 per ton. Should we consider given that Vale managed to increase prices considerably in the third quarter that for once and for all Vale consolidated the quarterly price mechanism? Or should we believe that there’s still a chance that we could see prices migrating to shorter periods? Thank you.
Guilherme Cavalcanti : Well, Ivan, we expect the iron ore production for next year to reach 311 million tons. And the goal for reaching 522 million tons is supported by the various projects being developed. Most of the additional production capacity will come from Carajás. We also have Simandou in West Africa with contribution. And last, but not least, we’ll have some projects in the South, Southeastern and Southern systems adding to our capacity.
Guilherme Cavalcanti : On the quarterly prices, the system is working well, and if you consider the average spot price of the year and the average price on the quarterly systems, it will more or less be the same. So we think that this lower volatility will remain the quarterly prices as the system going forward.
Ivan Fadel - Credit Suisse: Okay. Guilherme, just going over just a little bit on the Chinese and Indian outlook, I know you already put out a lot of details in the release, but how are you looking into the continuation of the Chinese demand for 2011 and onwards, and should we expect an even tighter year for iron ore in 2011 and ‘12, and also if you can quantify, if you already have this number, what could be the impact of Indian growth and lower supply to the seaborne market be in case of India as well. Thank you.
Guilherme Cavalcanti: Ivan, as you mentioned, we believe that the Chinese demand will continue to be high due to infrastructure investments, consumer durables consumption, and in India also due to infrastructure investment. And also all the Southeast Asian countries like Indonesia, Malaysia, Vietnam they is also has a very low steel consumption, so we think that demand for all these countries we will keep the iron ore market tight.
Operator: (Operator Instructions) Our next question comes from Mr. Felipe Hirai from Merrill Lynch.
Felipe Hirai - Merrill Lynch: Hi. Good afternoon everyone. Congratulations on the very strong results. I have two questions. The first one is related to the pellet premium. We saw that the premium of pellets increased to close to $70 over the fines. I’d like to understand if you think that this is sustainable going forward, if you could see pallet prices around this $200 level. And my second question is regarding the CapEx, so you mentioned that you are guaranteed to grow at a CAGR of 16% over the next few years. Could you just give us an idea of what kind of CapEx should we expect for the years after 2011, should these be close to this $24 billion budget that you are expecting for next year? Thank you.
Mário Barbosa : Yes, on the pellets premium, we have two forces working. The first we have a higher supply from the pelletizing plants, but on the other hand, pellets are more efficient on the blast furnaces and addresses the energy savings worries of Chinese. And also increases efficiency in blast furnaces. So there are two forces working on opposite sides and it is very difficult to predict what will be level of the pellet premium looking forward. On the CapEx side, we are, as I mentioned, reassessing all the time the level of the CapEx considering the returns and our capital discipline. So, it will all depend on markets, cost of equipments, labor costs and exchange rates.
Operator: Our next question comes from Mr. Carlos De Alba from Morgan Stanley.
Carlos De Alba - Morgan Stanley: Hi. Indeed very strong results, particularly in the iron ore business. However, I have a question in – when we looked at the detailed financials, for the second quarter in a row we see that fertilizers has posted a negative operating income. So, I wonder if you can give us a little bit of comments to better understand what is going on in that segment. That’s my first question. And my second question is regarding the CapEx. Out of the $24 billion that you just announced, how much is it committed already that you will have to spend next year, and how much is part of this flexible budget that you have? Thank you.
Guilherme Cavalcanti: Okay, on the first question of fertilizer, actually the result was positive. What’s impacting it’s the revaluation of the inventories. When you do that acquisition, when you put the assets into our balance sheets you do a revaluation of the inventories and it had a negative impact. On the CapEx commitments, this is something that we don’t disclose yet.
Carlos De Alba - Morgan Stanley: And, Guilherme, thank you very much for the answer on fertilizer. Do you know how much is the impact of the revaluation after the acquisition that affected the full year results?
Guilherme Cavalcanti: It was 23 million the second quarter and 74 million on the third quarter.
Operator: Our next question comes from (inaudible) from Barclays.
Unidentified Analyst: Hello, good morning everyone. Thank you for the call. My first question is related to freight. If you can give us an update on your freight strategy and how is freight allocated in your CapEx budget? I mean, during the quarter you had 25 million tons shipped on a C&F basis, which was something quite symbolic. So I just wanted to hear, how are you seeing your freight strategy going forward and if on the C&F based sales if you are capturing a freight margin, if that’s something that is reasonable to assume. And the second question is regarding – to iron ore inventory levels in China. We have seen roughly unchanged inventory at the ports. I just wanted to get your views on whether we may see a restocking – a pre-winter restocking over the next months, and how are our inventory levels at the mills? Thank you.
Eduardo Bartolomeo : Okay. Actually, our freight strategy has been working. We acquired vessels, we are building new vessels. We are also entering long-term contract agreements. The idea of our freight strategy is to keep the freight prices at low levels, well behaved, so we think we achieved this goal, because the recently increase in iron ore prices was not followed by the same increase in freight prices as we saw in the past, when customers used to sometimes paid more for the freight than for the iron ore. But the size of our fleet and our contracts, we do not disclose yet. I’d now like (inaudible) to answer the second question.
Guilherme Cavalcanti : Well, regarding stocks, we have seen during the summer in the northern hemisphere, a de-stocking process. This explains for instance low iron ore sales to Europe. In the case of China, there was a de-stocking processes that come to an end. According to all the information we have, you know that we have our team in the ground in China. There is no stock building there, in both – in steel and iron ore. And I’ll take the opportunity to remind you that a product like iron ore is very difficult to be the target of inventory building. Because if you want to have a meaningful inventory in iron ore, first you have to find room. Because a meaningful inventory of iron ore in China, given the level of steel making per month, you need at least 250 to 300 million tons. So you have first to solve one problem, to find room where to maintain this huge amount of iron ore. So we are seeing on the contrary, a re-acceleration of the demand for iron ore in several place in the world. And we are very positive about the future performance of demand.
Operator: Our next question comes from Mr. Vincent Lepine from Exane BNP Paribas.
Vincent Lepine - Exane BNP Paribas: Good afternoon, gentlemen. I have two questions, please. You mentioned that you were getting a premium for the quality of your iron ore and obviously specifically for Carajás? I was wondering if you could just remind us of the average SE contents you get in the other operations again, other than Carajás. And the second question relates to the Canadian operations, which are now back to full production. I was wondering how much fixed cost had been temporarily eliminated during the strike. I guess some of the labor cost obviously wasn’t there during this strike. So what I’m trying to get to is perhaps an estimate for what average cost per ton should be for these operations at a normalized production rate, and based on I guess current FX and input costs? Thank you.
Guilherme Cavalcanti : Well regarding the Canadian operations, we have reduced our cost base. We have made several efforts in that direction. For instance, we shared a significant percentage of managerial jobs in Canada. We are going back to full capacity operation with less 1,200 workers in our operations. Regarding the line of products, we have too many products in our portfolio. And we discontinued – those were not profitable on a permanent basis. So, several changes were made in order to reduce our cost and to be able to be profitable across the cycles, not only during the up cycle. And we will continue to do these efforts to have really a very low cost operation in all the world of nickel.
Operator: Our next question comes from Mr. Tony Rizzuto from Dahlman Rose.
Tony Rizzuto - Dahlman Rose: Thank you very much for taking my question. Good morning, everyone. I’ve got a couple of questions. First of all, on iron ore, can you discuss carryover tons that may have been pushed into the fourth quarter as production seemed to outpace shipments during the quarter? And also, do you expect any seasonal effects in the fourth quarter? And from a pricing standpoint on iron ore, should we expect to see some narrowing of the discount versus the (inaudible) assessment on fines? That’s my first question. The second is about Serra Sul which is the cornerstone of your iron ore investment. Could you review the timing for me? Hello?
Guilherme Cavalcanti : We are back?
Tony Rizzuto - Dahlman Rose: Yes.
Mário Barbosa : Hello?
Eduardo Bartolomeo: Yes, this is Eduardo de Salles Bartolomeo here talking about the iron ore shipments. As you asked about the carryover, there is negligible carryover for the fourth quarter. As we saw in the results, we ship much more than we produce. So about 30% is kept from the last quarter. So we really had a very good performance. To go to your next question about the weather, there are some oddities around. Of course our best quarter, is all of the three seasons that are all sunshine, it helps a lot. Of course, we expect some weather impact mainly in the south in the next quarter. But still, the sun is shining for us. So I think we’re going to have a good quarter. But basically, there’s just natural seasonality that we have every year in our operations. For the price issue, I think Guilherme can go over that.
Guilherme Cavalcanti: We believe that the volatility of the price will not be that high and now we are also forecasting a strong market for next year.
Guilherme Cavalcanti : And your question about Serra Sul, our guideline of time is being kept. We foresee the project starting up on July 2014. We have the permits for the construction site. We are starting to preassemble. We are waiting for the license for the processing plant in the mine. For time being, everything is all right. The biggest threat is environmental license like always. But we are taking a very good approach of mobilization, preassembling to foresee and to have contingency plans to keep the dates and the CapEx on budget, on time.
Operator: Our next question comes from Mr. Rodrigo Barros from Deutsche Bank.
Rodrigo Barros - Deutsche Bank: Congratulations on the results, really outstanding. Would like to make couple of questions. The first one regarding the distribution center strategy, if you are able to provide us some guidance on when and what’s the wrap up of the distribution center in a month? And how is the status in the Malaysia investment? In the press release, you mentioned you bought the land. So if you can give us a guidance when it should be operational and what kind of impact on volumes should we see there? And my second question, in my opinion, (inaudible) are not surprising in that value with the freight differential of the China max which is likely to be $5 per ton. Plus the values, it’s very likely it should be seeing a higher FOB price for its iron ore than their Australian peers. So in my view, sorry – my question is if you can explain a bit how the values and the freight expansion can help value obtain higher for, in Australia, if you think that’s achievable and by when? Thank you very much.
Eduardo Bartolomeo : Okay, about the distribution centers, (inaudible) starting up the power plants last quarter, by the end of the year. The distribution center will be ongoing the next quarter, first, second quarter of 2011. In Malaysia, we already bought the land, we are starting the engineering studies and we are scheduling that for the second semester of 2013. So they’re on studies, we – I think both of them are on the targets we foresee. The strategy as you understand is to be closer either to the EMEA and either to China and Southeast Asia with Malaysia. So it’s a good strategic logistic point for us.
Mário Barbosa : And looking forward, we expect that demand for high quality iron ore, actually the quality I think will be the main differential. So we think that what the premium that you’re going to be obtaining, for the quality difference will continue to be offsetting the price differential from Brazil to China in relation to Australia to China.
Operator: Our next question comes from Mr. (inaudible) Carter from Sentinel Investments.
Unidentified Analyst: Yes, thanks. Could you just talk about how your operating cost is going to be in 2011? And the second question on CapEx, you outlined the $24 billion, what it includes, does it include acquisitions in it? Or it is excluding the acquisitions?
Eduardo Bartolomeo : Okay. The $24 billion does not include any acquisition, okay. We continue to be controlling our costs and they are very strict. And the thing is, the main challenges for next year in terms of cost will be the exchange rate. 65% of our costs are on real or Canadian dollar denominated while our sales are in dollar terms. So this currency mismatch can impact our costs looking forward.
Unidentified Analyst: So if the Canadian real is going to depreciate against the dollar, and dollar, probably might feel an increase in the cost in that case?
Eduardo Bartolomeo : Yes, if the Canadian dollar appreciates, we will deserve an increase in costs from our Canadian operations.
Unidentified Analyst: Okay. Any acquisitions are planned for 2011? Because if you will just extrapolate what you need to have the – the same kind of operating performance as you had in the third quarter for 2011 to generate enough cash flow for your $24 billion of CapEx. Do you think that if the strong results are not likely in the later half of 2011; if the iron ore prices are going to fall, if dollar appreciates, then it probably – you might have to cut back on the CapEx numbers?
Mário Barbosa : Okay. First, we are focusing on organic growth. So we are the mining company that can almost double the capacity only focusing on organic growth. So that’s our focus. So opportunistic acquisitions can happen, but there is nothing on the radar at the moment. Regarding the perspective for next year, as I mentioned before, we are very bullish. We think that we will continue to generate strong cash flows looking ahead.
Operator: Our last question comes from Mr. Marcos Assumpção from Itaú.
Marcos Assumpção - Itaú: Hi, congratulations for the very strong results. First question, if you could share your views on the nickel and the copper markets for 2011? And also comment on the additional volumes that you could bring to the market because of the new operations on both businesses, on nickel in Novo Caledonia and also Puma. And on copper, Tres Valles?
Guilherme Cavalcanti : Well, the high growth of emerging market economies, we see a strong demand for base metals. In the particular case of nickel on the one hand, we will have an increase in supply. As you mentioned we have two large projects come on stream Onça Puma, and DNC. And on the other hand we see the continuation of gross output driven by consumption in the emerging market economies, we see also demand pressure from the known (inaudible) applications around the world from highly equalized from plating driven by the auto-industry and also by alloys fields and foundry batteries, et cetera. Copper is the commodity where the constraint on supply is the largest in the world. If you compare the world known resource to the current production, it’s the lowest among most of our commercial. So you have a structural problem, the supply side. While demand is going as particularly in China at the infrastructure investments continue to develop mainly with power generation which is very intense in copper. So for both commodities for nickel and copper, we see very clumsy outlook.
Operator: Thank you. This concludes today’s question-and-answer session. Mr. Cavalcanti at this time you may proceed with your closing statement sir.
Guilherme Cavalcanti: Yes, thank you very much for attending this conference. And see you next quarter.